Operator: Good morning. Welcome to Megacable's Fourth Quarter 2025 Earnings Conference Call. With us this morning, we have Mr. Enrique Yamuni, CEO; Mr. Raymundo Fernandez, Deputy CEO; and Mr. Luis Zetter, CFO. Let me remind you that the information discussed at today's earnings call may include forward-looking statements on the company's future financial performance and prospects, which are subject to risks and uncertainties. Megacable undertakes no obligation to update or revise any forward-looking statements. I will now turn the call over to Mr. Enrique Yamuni. Sir, you may begin.
Enrique Robles: Good morning, everyone, and thank you for joining us today. As we close our 2025, we remain focused on our long-term strategy, expanding and modernizing our network by migrating our base towards fiber, strengthening our value proposition through quality service and competitive pricing, and most importantly, transitioning from a phase of high investment in construction to a period of consolidation, efficiency and stronger cash flow generation. Beyond the numbers, our execution is showing up in places that matter most. We continue to gain share, grow ahead of the market and reinforce Megacable's position as one of the most reliable telecom operations in Mexico while delivering continued revenue growth, margin expansion and a very strong balance sheet. A major driver of our performance over the past quarters has been the scale and pace of our network deployment. When we announced this expansion, it was an ambitious commitment. Today, the results speak for themselves. We successfully took our footprint beyond 19 million homes passed. This milestone matters because it marks the beginning of an intensified consolidation phase, where we will increasingly capture the returns from the footprint we have already deployed. Operationally, we keep solid momentum across both our expansion territories and our legacy footprint. Broadband remains the engine of our portfolio, and we once again closed the quarter within the 100,000 to 150,000 quarterly net adds range we have consistently communicated over the last 2 years. At the same time, we saw a sequentially lower churn, while our ARPU reached one of its highest levels, reflecting the effectiveness of our bundling strategy in driving retention and growth. In parallel, we continue strengthening our fiber footprint, reaching 84% of our subscribers served through fiber technology at the end of the quarter. With this level of penetration, we are firmly positioned as a fiber-based company, with limited legacy technologies remaining only in transition areas. This positions us to deliver superior service quality, higher bandwidth capabilities and a scalable operating platform to meet growing demand for high-speed connectivity. These results were delivered in a market that remains price-sensitive and closely tied to macro conditions, particularly across lower and middle income households. Even so, we continue to compete effectively by combining service quality, competitive pricing and a portfolio that meets evolving customer needs. From a financial perspective, the operational momentum continued to translate into solid top line growth and improving profitability. As you will hear from Luis, the mass market segment again delivered strong performance broadly consistent with what we have seen through the year. While the corporate segment remains softer, resulting in higher single-digit consolidated revenue growth. Profitability also improved, reflecting operating efficiencies and the continued maturation of newer territories. On capital allocation, we closed the year fully aligned with this discipline we're committed to at the start of 2025. CapEx intensity finished below the target we set for the year, representing a meaningful step down versus prior years. This confirms the shift we have been executing from heavy investment towards a more normalized and efficient investment profile. As a result, cash flow generation continued to strengthen, and it remains one of the most important near-term objectives. We are closing the year with a very solid cash flow profile, supported by improving profitability and lower capital intensity. Looking ahead, we are increasingly confident in our ability to convert earnings into sustainable cash generation as we move through to 2026. On the balance sheet, our focus remains on preserving flexibility and maintaining one of the strongest leverage profiles in the industry. This quarter, net debt and leverage ratio continued to trend favorably, and we expect this to remain the case in the coming quarters as profitability improves and CapEx continues to normalize. This reinforces the strength and prudence of our capital structure and supports our long-term strategy without compromising financial stability. The quarter's key message is clear. We are seeing the benefits of the investment made over the last 4 years, not only in subscriber growth and profitability, but also in our ability to deliver what we said we would deliver and more: that track record is important because it builds confidence [ what comes next ]. As we move into 2026, our priorities are clear: consolidate growth in the territories we built, keep advancing our fiber strategy, drive operational efficiency, and above all, maximize free cash flow generation while maintaining our investment-grade profile and executing with the same consistency that has defined this cycle. With that, I will now pass the call over to Raymundo for operational remarks. Please, Raymundo, go ahead.
Raymundo Pendones: Thanks, Enrique, and good morning, everyone. During the fourth quarter, our operating efforts remain focused on consolidating both the expansion of our footprint and the ongoing evolution of our network. These initiatives continue to support improvements in service quality and operational efficiency while reinforcing our ability to compete effectively across markets, prioritizing value creation and sustainable subscriber growth. Within this framework, by the end of this quarter, our network infrastructure reached more than 108,000 kilometers, representing 7% annual growth and enabling coverage of 19.2 million homes, a 10% increase year-over-year. Together with the continued migration of legacy infrastructure, these efforts have resulted in 84% of our footprint being served by fiber to the home as of the end of the quarter compared to 75% in fourth quarter 2024. With this level of penetration, Megacable is firmly positioned as a predominantly fiber-based operator, with only a limited portion of its network relying on legacy technologies. Starting with our subscriber base. During fourth quarter 2025, we added 107,000 unique subscribers sequentially, ending the quarter with more than 5.9 million unique subscribers, reflecting continued traction across both our expansion and organic territories. Breaking down the mass segment services, Internet remained the main growth driver. By quarter end, Internet subscribers reached 5.8 million, up 9% year-over-year, or 494,000 net additions. Sequentially, we delivered 133,000 net additions in the quarter, maintaining a clear growth trend and staying in line with our expected range. In Telephony, we ended fourth quarter 2025 with 5.1 million subscribers, up 8% year-over-year, representing 372,000 net additions. Sequentially, we added 56,000 subscribers, in line with the role of Telephony within our bundled value proposition to enhance the overall customer offering. In the same line, our MVNO base reached 679,000 lines at quarter end, representing an annual increase of 23%. We added 39,000 lines sequentially and 125,000 year-over-year, continuing the growth trend we have observed since first quarter 2023 while maintaining the focus on postpaid services. In our Video content segment, we closed the quarter with 4 million unique subscribers comprised of 3.9 million traditional video users and 151,000 apps only users. Both of these services accounted for nearly 2 million active streaming app subscriptions at quarter end, up 99% year-over-year or 990,000 net additions, reflecting subscribers' preference to complement their video service with more than 1 digital app. This consolidated period reflects our strategy to further evolve the content segment into the combination of traditional pay-TV with a more digital integrated offering, increasingly aligned with changing consumption preferences. The continued expansion of our subscriber base translates into an increase in RGUs, which reached nearly 15 million, representing an 8% year-over-year growth. As anticipated, the churn rate declined sequentially this quarter across the 3 mass segment services, reaching 2% for Internet, 2.3% for Video and 2.6% for Telephony. Regarding ARPU, it is important to mention that starting this quarter, we report ARPU based on Internet subscribers, allowing comparison with the rest of the industry. Under this methodology, broadband ARPU stood at MXN 439.8 in this period, while ARPU per unique subscriber was MXN 426.3, one of the highest levels since second quarter 2022, mainly reflecting the price increases implemented during the year. Turning briefly to the corporate segment. Results remained soft during the quarter and continued market caution. While we did some sequential improvement, year-over-year performance remained under pressure, mainly in the corporate and carrier segment. However, we continue to focus on execution, prioritizing service quality, operational efficiency and a disciplined commercial approach. Going forward, as Enrique outlined, our priorities remain consistent: consolidate the expansion and modernization projects already deployed, continue deepening penetration in newer territories, provide the highest quality service to our subscribers and drive cash generation. In parallel, we will maintain a disciplined commercial approach, mindful of the challenges inherent in a highly competitive market and a slower economic growth. Thank you for your attention. I will now turn the call over to Luis for the financial review.
Luis Zetter Zermeno: Thank you, Raymundo. Good morning, everyone. Before I begin, I would like to emphasize that all comparisons to 2024 numbers are made against the 2024 audited figures presented on April 29 of 2025. With that context in mind, throughout the year, the disciplined execution of our strategy focused on consolidating new territories and continuing to drive efficiencies across our legacy operations translated into solid revenue growth, healthy profitability and further progress in the soft landing of our investment cycle. In this sense, total revenues reached MXN 9.2 billion during the quarter, an 8% increase year-over-year, driven by robust performance in our mass segment, where revenues grew 10% year-over-year and continued to be our own main source of revenue. This double-digit growth more than offset a 3% contraction in Corporate Telecom segment revenues. Similarly, 2025, total revenues reached MXN 35.4 billion, representing an 8% increase over 2024, following a 10% year-over-year growth in the mass segment, supported by the combined effect of an expanding subscriber base and continued ARPU improvement. Before moving to cost and profitability, I would like to clarify that fourth quarter 2024 figures include specific extraordinary accounting adjustments made during the audit process, particularly the cancellation of account receivables with ALTAN, which increased the cost and SG&A base in that period, consequently affecting positively, EBITDA and net income comparisons made. Now turning to quarterly cost of services and SG&A. This amounted to MXN 2.5 billion and MXN 2.7 billion, respectively, increasing 6% and 1% year-over-year, remaining below revenue growth. For 2025, costs reached MXN 9.6 billion, reflecting a 5% rise compared to 2024, while SG&A totaled MXN 9.9 billion, representing 6% year-over-year growth. These results are mainly attributable to the expansion of our network footprint and higher labor costs, which were partially offset by efficiency gains as newer territories continue to mature. Excluding the receivables write-off effect, total cost and SG&A for the quarter continued to grow at slower pace than revenues, reaffirming the strength and operating discipline of our business. EBITDA totaled MXN 4.5 billion in the quarter, increasing 15% year-over-year with a margin of 44%, favorably compared to 41.3% in the same period of last year, supported by continued efficiency improvements, mainly in new territories. It is important to note that although the EBITDA margin in this quarter is the lowest of the year, this aligns with historical seasonal patterns, as the fourth quarter traditionally records the lowest margin. Following this performance for 2025, EBITDA grew 11% year-over-year, reaching MXN 15.9 billion with a margin of 45%, up 120 basis points compared to the previous year. Excluding the one-off impact of SG&A, quarterly EBITDA increased 8% year-over-year, while full year EBITDA rose 9%. Net income for the quarter was MXN 721 million, increasing 15% sequentially and 74% year-over-year. Likewise, 2025 net income amounted to MXN 2.8 billion, representing 20% growth versus 2024. Our results reflect the strength of our operating performance and an improvement net comprehensive financial results. Quarterly net income, excluding the ALTAN write-off, increased by 33%, while full year growth reached 18%. As we have already mentioned, profitability will strengthen further as depreciation continues to stabilize and the newly integrated regions mature. Turning to the balance sheet. Net debt ended the year at MXN 21.5 billion, decreasing both sequentially and annually. Together with solid EBITDA generation, this contributed to the net debt-to-EBITDA ratio decreasing from 1.45x in third quarter of 2025 and 1.50x in fourth quarter 2024 to 1.35x in this period. Similarly, our interest coverage ratio stands at remaining at healthy levels and providing the flexibility to meet obligations while continuing to execute our long-term strategy with discipline and consistency. As a result, we maintained one of the strongest leverage profiles in the sector, alongside a well-balanced mature structure. CapEx for 2025 remained consistent with our full year investment guidance, closing at MXN 9.1 billion, decreasing from MXN 10.3 billion in 2024, representing 25.9% of total revenue, in line with our objective of 26%. Likewise, CapEx to revenue ratio for the quarter declined from 29.2% in fourth quarter of 2024 to 28.2% in fourth quarter of 2025. This clearly reflects a deceleration versus 2024 levels and reinforces the company transition to a lower investment intensity phase. As the consolidation of investment begins to reflect -- be reflected in the results, cash generation driven from EBITDA minus CapEx, interest and taxes and leases showed strong performance. It rose from MXN 1.75 billion in 2024 to MXN 4.68 billion in 2025, representing 1.6x increase. This progress confirms the effectiveness of the strategy focused on the company's ability to generate sustainable value. Looking ahead to 2026, we will continue balancing profitable growth with discipline and prudent capital allocation. Our priorities remain focused on delivering positive free cash flow, preserving our investment-grade credit profile and further advancing the moderation of recent investment across both expansion and legacy markets while maintaining a lower investment intensity profile. In summary, we closed the year with solid profitability, strong EBITDA performance and improved leverage, all while meeting our CapEx targets. This strengthened operational and financial position will allow us to face future challenges from a solid foundation and generate long-term value for our shareholders. Thank you for your trust. I will now open the floor for questions.
Operator: [Operator Instructions] Our first question comes from the line of Marcelo Santos of JPMorgan.
Marcelo Santos: I have two questions. The first is like -- about CapEx outlook. So you were below your guidance, a guidance that I must say that was revised down a few times. So what is the outlook for the next couple of years? Could you provide us some color? Should this go down a bit more? Or should it stay at this level? So that's the first question. And the second question is, you made it very clear, generating a lot of cash. That cash is increasing. What is the use of cash? Because I think you are now generating more than the minimum dividend. So what is the decision -- what to do with this cash?
Raymundo Pendones: Luis?
Luis Zetter Zermeno: Okay. With the CapEx outlook -- Marcelo, thanks for the question, and welcome to the call. And we have been consistently delivering -- and it's consistent with the message that we have established that we are going to be reducing the CapEx to revenues ratio, and that will continue for the future years. Yes, there are some factors that may impact the speed of the reduction, like the -- or the shortage of some chipsets and memories that will impact somehow, the reduction of the ratio. But we are positive on the same outlook. We will continue to have a CapEx for 2026, we estimate between 24% and 26% and going lower than that on 2027.
Unknown Executive: Okay.
Unknown Executive: No, there was another question.
Unknown Executive: Second question. Cash generation.
Luis Zetter Zermeno: Cash generation, we have been established generating cash. We have to take in consideration that we have, in 2027, due debt that we have to define with the Board if we are going to reduce the debt or we are going to do something else with the cash generation. We are still analyzing the position, and we will define in the short term, what the strategy should be. But this is a great trouble to have, to define what to do with the cash generation instead of dealing with other type of situations.
Operator: Okay. The next question comes from the line of Phani Kanumuri from HSBC.
Phani Kumar Kanumuri: My first question is that, as you stated, the market is becoming more competitive and the consumer is weaker. So what is the strategy for your side going forward to maintain the 100,000 to 150,000 net adds? And the second question is that if you look at your net adds, the broadband net adds were higher than the unique net adds this quarter. And I was just trying to understand like, why is that the case? And then why have you shifted your ARPU definition to broadband net adds rather than -- based on broadband net adds rather than unique net adds?
Raymundo Pendones: Sure, Phani. Well, our strategy remains focused in both expansion and organic territories. We have a great network. We put investment on the network and the product. We have a great XView product that we are integrating with different apps. So our strategy is to have the much more efficient price placed on the products that we provide to our subscribers, increase bandwidth, as we did in January. We're increasing bandwidth to our subscribers, and we are providing better apps and products to them so they can get in our company, the best service and the best quality. That has, with an aggressive price, proven to drive the growth of this company so far. It is good to mention that we have growth both in organic and expansion or in organic territories. It's not only coming from the new territories we have. So we're not going to move away from what we are doing right, and this is our strategy to have. Regarding the unique and the broadband, that was -- we have a great growth in broadband on that part, that some of them comes with double or triple play. And some of our unique subscribers that is lower on this part is because we are adding broadband to people that have video and video to people to have broadband, in that sense. So we are gaining more RGUs than what we have in unique subscriber. It was a unique position of this quarter. We expect to have very close growth in organic and broadband -- sorry, in unique and broadband subscribers in the future to come. So that will be the answer.
Phani Kumar Kanumuri: Yes. And maybe, I mean, just a follow-up on the question. So you had now changing the definition of ARPU based on broadband subscribers rather than unique subscribers. Maybe, what is the logic behind that move?
Raymundo Pendones: Yes, we're trying to be more clear to everybody because unique subscriber, it might be confusing, as you are having the question. Sometimes we have much more triple-play service, sometimes double. And sometimes we do campaigns for broadband compared to existing subscribers. The main comparison ARPU in the market is broadband subscribers, which is the majority of the connected homes that we have in the industry. And that's why we are trying to make a much more clear comparison on ARPU regarding other industry players.
Operator: Next question comes from Valeria Miranda from [ Jeremi ].
Unknown Analyst: I have two questions, if I may. The first one is regarding the corporate segment. It has been decreasing for the past quarters, given the change in the commercial strategy you mentioned previously. But when do you expect revenue to normalize? And how much would this impact EBITDA? And my second question is given the increased EBITDA and free cash flow generation, coupled with declining net leverage, can we expect an increased payout in relation to EBITDA versus previous years?
Raymundo Pendones: Thank you, Valeria. Regarding the corporate segment, yes, we had a tough year, as we say. But that tough year has good positive signs also for us. We changed the way that we commercialize some of the products. So now we have a much more contribution on the profitability of that segment. We were selling a lot of infrastructure on a cash basis. And now the market drives us towards more managed services that recognizes income on time on the future or in a period of time. So we posted a decrease in revenue with a higher margin in that case. And going forward, we expect that to normalize. We pretend to have a much more better year than what we have, trying to recover the levels of what we have in 2024 for that segment. As you know, we integrate and try to migrate the strategy of a connectivity company called Metrocarrier to a much more solution IT infrastructure company called ho1a Innovacion. We are maturing that product, and that's going to the market approach. And we expect 2026 to recover levels as I was saying that. The other one, I don't know, Luis, if you had it? That was right in the third one? Regarding decrease of...
Luis Zetter Zermeno: I couldn't get the second one.
Raymundo Pendones: Yes, I was trying to finish the first one.
Unknown Analyst: Yes.
Raymundo Pendones: Can you repeat the second one, please?
Unknown Analyst: Yes. Can you hear me?
Raymundo Pendones: Yes.
Unknown Analyst: Yes. Given the increased EBITDA and free cash flow generation, coupled with the declining net leverage, if we can expect an increased dividend payout in relation to EBITDA versus previous years?
Luis Zetter Zermeno: Well, as I mentioned in the previous question, additional generation of cash flow, which is still not defined, where it will go. What is -- our expectation is that it, for sure, will not reduce the dividend payout that has been given by the company. But it's still a definition from the Board. So we expect at least the same approach from previous years. And still to be defined, what the outcome or the use of the additional cash flow will be.
Raymundo Pendones: That's the happy problem you were mentioning.
Luis Zetter Zermeno: That's a happy problem.
Raymundo Pendones: We have always been, Valeria, a very conservative company in that case. We're not -- we don't expect to change our dividend policy that we have right now on that, but we haven't provided a clear idea of what we're going to do in the future with excess of cash. We will talk to the Board on that case and do what's the best for the company and provide a solid balance sheet for whatever it might come in the future, whether to repay, whether to increase dividends or whether to do something else with that. So far, we maintain the same conservative approach that we have in the past.
Unknown Analyst: Perfect.
Enrique Robles: I would not discard the possibility of increasing our dividend. Because if we don't use -- if we don't find a better use for the cash, we don't see why we shouldn't -- we would not increase the dividend. Not as a consistent or as a change in our policy, but if we don't have a better use for the money, I don't think that the Board would not consider that. I think that the -- it's not -- talking to experts, it's not a good idea to maybe get the company to 0 debt. I don't know if that answers your question.
Operator: And the next question comes from Ernesto Gonzalez from Morgan Stanley.
Ernesto Gonzalez: It's just on how you're seeing competitive dynamics evolving in Mexico, especially if you could go into what you're seeing in legacy territories and in new territories? It would be great.
Raymundo Pendones: Sure, Ernesto. As you all know, we have a very competitive market here in Mexico, and we've been having that for quite some time already. Our strategy is very simple, keep the most efficient company in terms of price approach to cost and EBITDA while being innovative and having the great technology. That's why we put -- almost 85% of the network is already FTTH so we can increase the speeds whenever the market requires that. And we continue to invest in the network so we can increase speeds even if we go above the competition. But it is not only about speed, it's also about the complement of the broadband with other services that we call content -- video content services. That's why when we talk about video, we don't talk only about traditional pay-TV video, but we are adding apps. We normally provide to our subscribers, a combination of apps that makes it very attractive to have content from us. And that's why we have so many RGUs coming from video. As we stand on that, over 2 million apps are already spread among all the subscribers of Megacable. So at the end, we do a combination of great service, good quality, good pricing. We continue to have the best price in the market while we have the best margin in all. And we're not moving to that. It's a very tight execution, and that's where we continue to focus. At the same time, we expect 2026 to make us a slight recovery for the corporate segment. And we will be focused on trying to increase the growth of that unit towards more IT solutions services and not only connectivity. Those are part of the studies that we have internally. Now talking about competition, well, everybody has different positions. Telmex has approached the non-increase of rates that is very similar to what we have right now. And we do compete with them in terms of providing, as I said, more products that we do have. That's how we managed to increase ARPUs slightly, but increase ARPUs while penetrating the market because we were able to sell more bandwidth and products to our existing subscribers. And at the end, when you compare to the other 2 competitors, they all have different particularities. Totalplay has a high ARPU in that part and some financial constraints on that part that make us be more aggressive and flexible towards that company in particular. And then Izzi continues to maintain their HFC approach with some of the -- with their subscribers. So it's going to cost them more to increase bandwidth compared to what we have right now. So we know what competition is tough on that part, but we know what our advantage is to all of them. Even compared to other technologies like broadband, like mobile, fixed mobile that is not done in this market because of -- not capacity from the mobile services and satellite, which is target -- as well as other parts of the world is targeted at a much more higher price and aimed to rural areas and not urban, okay? That's pretty much my vision of the competitive dynamics here in Mexico.
Operator: And the next question comes from Lucca Brendim of Bank of America.
Lucca Brendim: I have two on my side. The first one, if you could comment a little bit on what do you expect in terms of EBITDA margin going forward, if we should continue to see a similar pace of increase for next year compared to what happened in 2025 versus 2024? And how high do you think margins can go in the long term? And then a second question. Regarding the new regulator in Mexico, have you already seen any difference or something that has impacted the company that we should be aware about with the new regulator?
Enrique Robles: About the new regulator -- let me talk about the new regulator. I think the new regulator is taking a very good approach. I think that it's a good surprise for us. We think that they are very much aware of the competitive scenario or landscape in Mexico. And they -- I think they will be a good player, let's put it out this way, in the market. They will -- they are very conscious, I think, and do a good diagnosis of what's needed to get a much better competitive landscape in the market. And the other question was...
Luis Zetter Zermeno: EBITDA margins and the expectation for the future. As we have seen, the organic territories has sustained, on a very good levels. Not at the 50% that we had in the past, but 48% to 49%, and is very consistent. And we are also increasing the EBITDA margins on the expansion territories. So our expectation is that the margin overall is going to continue expanding. And we foresee around 50 basis points, which is consistent with the latest years' growth, 50 basis points expansion per year and reaching 47% to 48% by 2028, more or less.
Operator: And the next question comes from Pablo Ricalde from Itau.
Pablo Ricalde Martinez: I have one question on your pricing strategy for 2026. When do you expect to raise prices? I remember last year, you did the one in March, April, if I'm not mistaken. Just trying to check when do you expect to raise prices this year?
Raymundo Pendones: Sure, Pablo. We have 1 price increase already in January that we did. But the way that we do price increases is divided among all the different segments of our subscriber base. Let me explain to you. When you have new subscribers, the price increase comes when the promotional price finish. When you have all subscribers, it comes once a year. Or when you have subscribers that has been having an upgrade or downgrade in the service, the price increase will come when that operator downgrade finish. So it is tough to say what time of the year, but the first that we have was in January, and we may have another one to another subscriber base by the third quarter of this year.
Operator: Now we come for another question from Andres Ortiz from BTG.
Andres Ortiz: I would like to double tap on the competitive environment. I recently saw that your basic plan now offers 200 megs. I believe you are competing more in speed now, right? So the speed offerings have increased materially over past years. So I just want to understand what's your view on that? And what competition are you seeing? Are they following you? Is it more difficult today to increase ARPU through this view? Or what should we think that? And I will have another question after that.
Raymundo Pendones: Thank you for the question, Andres. I will expand on the first explanation I did about the competitive. Yes, we increased speeds to 200 megs. We have a brand-new network. It doesn't require from us, additional CapEx than what we have before. All our network can be upgraded to different speeds, still to our subscribers without requiring that. But it's not only bandwidth, what we are providing to subscribers. As I said, we are increasing the content proposition in terms of apps and trying to maintain the proportion of double to triple play packages. That means video over broadband and telephony. We're one of the highest provider of video in the market. But all of that at a very affordable price that can help us penetrate the market. We do not decrease ARPUs more significantly because we continue to grow from the expansion territories. And when you have a large base of subscribers coming from promotional or promotion prices, they have a lower ARPU. That's why Luis was explaining that we expect also as expansion continues to grow in the future, margins to come to the levels that what we have. Not the 50%, but levels of 47% to 48% in total in the 2 or 3 years to come. That might resume the competitive landscape that we have on the bandwidth. Also remain that our technology, it can be upgraded, not from what we have right now in GPON, XG-PON that we have and we can do in areas, strategic areas where we require for high-end customers. So we're very, very, very strong for the future in terms of bandwidth. And that will also help us to compete with other technologies, whether it's wireless or satellite, in the future to come. Fiber is still the name of the game for broadband, and that's part of our strategy. That's a strong part of our strategy.
Andres Ortiz: My follow-up will be exactly on margins. You mentioned that over the long term, 47%, 48% makes sense. That will be for the cable operations, right, not the consolidated business?
Luis Zetter Zermeno: No, it will be for the whole company.
Raymundo Pendones: It's for the whole company.
Operator: Thank you, Andres. At this moment, we don't have more questions in the line, but we have one question from [ David Simon ] from [ Alpha Sydney ]. Can you please discuss the stand-alone streaming app economics and the strategic value to the firm of this offer?
Raymundo Pendones: Sure, David. Well, as of today, we try to keep the streaming app strategy tied to our XView platform. We believe it's the best proposition for the subscriber and the best for the organization. So if somebody wants to have a big offer or a good offer on streaming, they have to be part of our XView platform so far. We have some markets and some customers that we can provide to them, single apps to the broadband subscriber. But as of today, we are trying to keep all tied and just provide a single proposition. Whether you want broadband, you have 200 megs. Whether you want broadband with content on that part, you get the best of the XView pay-TV platform, call it that way, plus streaming that is included on that price. And that's the strategy we have so far.
Operator: And we have a follow-up from David. Luis, could you explain the expected deferred tax dynamic as CapEx begins to normalize over the next few years?
Luis Zetter Zermeno: Sure. Yes, we benefited on the tax levels from the deferred taxes. And we expect a consistent slight reduction over the next few years as he mentions that CapEx is normalizing. So we expect a slight reduction over time.
Operator: Okay. We have no more questions. So I'll now pass the call over to Mr. Yamuni for final remarks.
Enrique Robles: Okay. Thank you very much. And as always, it's a pleasure to discuss our results with you. Please contact our Investor Relations department if you have any questions or concerns regarding the company. Please -- my -- our -- we're grateful for you -- with you for being in this conference and in the future conference and your interest in the company. As always, we will put our best effort to deliver great results to our shareholders and great results for the communities where we serve. Thank you very much, and have a great weekend.
Unknown Executive: Thank you, all.